Operator: Thank you for standing by, and welcome to the Northern Star FY '25 Financial Results. [Operator Instructions] I would now like to hand the conference over to Mr. Stuart Tonkin, Managing Director and CEO. Please go ahead, sir.
Stuart Peter Tonkin: Thank you, and good morning, and thanks for joining us to discuss our FY '25 financial results today. We'll be referring to the presentation as published on the ASX this morning. And with me on the call is our Chief Financial Officer, Ryan Gurner. The company has delivered another record-breaking financial performance on the back of a dedicated team effort in a favorable gold price environment. For FY '25, we reported record group underlying free cash flow of $536 million, which equates to $328 per ounce, which demonstrates the value of our profitable growth path we have been on for the past 4 years to delivering sustaining superior returns for shareholders. What is very clear is that the FY '25 results again just demonstrates the strength and value creation that we are embedding in our business. EBITDA and the ROCE metrics have shown consistent improvement over the last 3 years, while our investment-grade balance sheet remains strong and in a substantial net cash position, notwithstanding the capital investment in growth projects such as the Fimiston mill expansion at KCGM. True to our company purpose of delivering superior returns to our shareholders, the Board has declared a record final fully franked dividend of $0.30 per share, resulting in a total FY '25 dividend of $0.55 per share. Including the share buyback proceeds in FY '25 to successfully conclude that $300 million program, this represents Northern Star returning over $840 million to shareholders for the year. During FY '25, we successfully added the Hemi development project to our portfolio following the completion of the acquisition of De Grey Mining. The acquisition is strongly aligned with our business objectives, and we are excited to progress this significant project. the final investment decision for Hemi is subject to the final -- to securing final permitting and approvals and Northern Star continues to advance state and federal permitting processes as well as working closely with all traditional owners in the management of heritage protection. Northern Star continues to gain strength from the simplicity of our gold-only portfolio with globally significant scale in the low-risk jurisdictions of Western Australia and Alaska. I'm proud of our deliberate strategy to profitably and safely grow the company from 1 mine and 200 staff when I joined in 2013 to now with over 8,000 sustaining jobs and growing international significance, capable of delivering substantial financial results published today as well as the health and strength of our balance sheet going forward. With that context, I'd now like to hand over to Ryan Gurner, our Chief Financial Officer, who will discuss the FY '25 results in more detail.
Ryan P. Gurner: Thanks, Stu, and good morning, all. I'm pleased to present to you our financial results for the year-end 30 June 2025. Firstly, to Page 4, which provides an overview of the key financial highlights achieved during the year with the business generating $536 million in underlying free cash flow and $3.5 billion in underlying EBITDA, which is up 60% year-on-year. This EBITDA has translated into record full year cash earnings of $2.9 billion. With the strength in our cash earnings, a fully franked dividend of $0.30 per share has been declared today, bringing the total payout to $0.55 for the full year. And during the financial year, the company completed its $300 million on-market share buyback program. As illustrated on Page 5, we remain well positioned to deliver our organic growth projects with our strong balance sheet, which is in a net cash position of $1 billion at 30 June. We have access to flexible long-term funding options with an investment-grade credit rating, reflecting the strength of our business and the positive long-term outlook underpinned by the company's significant reserve back production profile within Tier 1 jurisdictions. The strength of our balance sheet reflects the disciplined approach we maintain through the cycle. It provides flexibility to fund opportunities to enhance our portfolio of assets to deliver long-term returns. As illustrated on Page 6, the company continues its demonstrated history of returning funds to shareholders. As I mentioned earlier, our final fully franked dividend of $0.30 per share declared today takes our total declared dividends to $0.55 per share for the full year. This represents a payout of 25% of full year cash earnings, equating to $715 million in dividends for the financial year. Following payment of the FY '25 final dividend, the company will have returned $2.5 billion in dividends to shareholders and bought back $300 million of its shares. This total of $2.8 billion in capital returns over the history of the business, and we believe there is much more to come. Over to Page 7, which highlights EBITDA margins achieved for the group and each production center. All 3 production centers have performed strongly and achieved healthy EBITDA margins with the group recording a 55% EBITDA margin for FY '25, up from 45% in the prior year. Pleasingly, and as illustrated, all production centers improved margins in FY '25. I'd like to point out a reconciliation of statutory NPAT to underlying EBITDA and cash earnings has been provided in the appendix of this presentation on Page 17 and Page 16 outlines the abnormal items to reconcile from statutory profit to underlying NPAT. Over to Page 8 now. It's pleasing to see our return on capital employed lifting since the merger with Saracen, increasing by 33% in FY '25, which reflects progress in our profitable growth strategy and focus on allocating shareholder funds to generate returns. This also highlights the strength of our FY '25 underlying earnings before interest and tax, which is up 102% from the prior year to $2.1 billion. Notwithstanding the important capital investments being undertaken across the portfolio to generate superior returns in the medium and long term, record underlying free cash flow was generated in FY '25, which totaled $536 million. Over to Page 9 now. The company is now 4 years into its 5-year organic growth strategy. Over this period, we have completed major operational milestones to strengthen our future production profile, generated $3.2 billion in cumulative net mine cash flow and returned $1.7 billion to our shareholders following payment of our final dividend. This year, the major milestones was completion of the East Wall remediation project at KCGM, which has been one of the most significant projects undertaken by the company. With this project now complete, coupled with the mill expansion, which remains on track for early commissioning in early FY '27, free cash flow is expected to significantly step up at KCGM. Page 10 sets out the key elements of how we deliver value and manage our capital allocation, which is through owning world-class assets in Tier 1 locations and applying our DNA of operational excellence to deliver value to our stakeholders. We do this in a safe and responsible way with a demonstrated track record. Our portfolio of long-life assets in their locations provides us with flexibility and optionality to extract value. And as a foundation, we maintain a strong balance sheet, which enables the execution of our strategic framework through the cycle. I'll hand back now to Stu to finish the presentation. Thank you.
Stuart Peter Tonkin: Thanks, Ryan. So turning to Slide 11. Northern Star has completed the first 2 years of the 3-year build for the Fimiston mill expansion project, which will see plant throughput increase to 27 million tonnes to average 900,000 ounces of gold sold from FY '29. It was great to display the significant progress that has been made over the past 2 years to analysts, investors and media who joined our site visit earlier this month. And pleasingly, the project remains on time and within budget. To Slide 12 reiterates our FY '26 guidance, which has commenced the year well with major plant shutdowns now completed. For the year, our production is forecast at 1.7 million to 1.85 million ounces at an all-in sustaining cost of AUD 2,300 to AUD 2,700 an ounce, averaging production output remains second half weighted. We have also included further financial guidance on depreciation and amortization, tax and dividends at the bottom of that slide. To Slide 13, Northern Star's exploration program remains a highly attractive strategy to value creation and to support our purpose to deliver superior shareholder returns. For the year ending March '25, our cost of resource addition is a compelling $20 an ounce, and 70.7 million ounces of mineral resources and 22.3 million ounces of ore reserves, which excludes our recently acquired Hemi development project. This corresponds to a 10-year reserve back production profile. To Slide 14, we have released the company's annual report as well as today, the FY '25 environment and social responsibility reporting suite. The collection of these quality publications led by Hilary Macdonald and the corporate team aim to highlight the extensive efforts across the business in responsible and sustainable operations, and we are proud to showcase the results in these reports. I'm also exceptionally proud of our industry-leading safety performance. The safety and well-being of our people is integral to our success with critical risk controls remaining a significant focus for our team during the year, and we are maintaining a sector-leading outcomes for our significant workforce. Looking ahead, our focus remains on unlocking the full value of our production centers and advancing the newly acquired Hemi project that aligns with both our portfolio and strategy to responsibly deliver superior returns for our shareholders. And that concludes the formal part of the presentation, and I would now like to hand back to the moderator for question and answers. Thank you.
Operator: [Operator Instructions] And our first question today will come from Mitch Ryan with Jefferies.
Mitch Ryan: During the period, you completed a $300 million buyback. Just can you talk to the Board's decision not to renew that at this point in time? And how does that interact with the fact that you -- the franking on the dividend over at least the next 12 months?
Stuart Peter Tonkin: Thanks, Mitch. Well, look, we always look at all the options for capital management. Obviously, buybacks are included in that. We ultimately see very compelling returns on our current organic investments. So I think it's important to understand the recurring and the multiplier effect of investing back in the business with those funds, and we're getting those superior returns. You've seen ROCE metrics lifting year-on-year. And I think they're the considerations that we'll have from time to time when we look at all these capital management tools.
Operator: The next question will come from Kate McCutcheon with Citi.
Kate McCutcheon: If I can start with the production question, and then I do have a financial question for Ryan. So thank you for the updated Yandal's medium-term outlook earlier in the month. I guess in February, we still had the 600,000 ounce expectation for that hub versus the 500,000 to 550,000 now. What were the key catalysts for that change? Or what is different now?
Stuart Peter Tonkin: Thanks, Kate. So just for clarity, you talked about the February 600,000 ounces. What we've -- I guess, we spoke about Yandal generally is 500,000 to 550,000 this year and fundamentally, that 550,000 is a pretty steady state go-forward number for Yandal, largely driven by around 250,000 from Thunderbox now 300,000. And fundamentally, that's grade. We've shown in the last quarter run rate even for last year of 6 million tonnes per annum. The grade has been about that 1.4 million. Obviously, the recoveries is 89%, 90% gets you close to that 250,000 than the 300,000. So unless the throughput goes up, grade comes up through higher underground feed, unless we can get a 1.7 million, 1.8 million grade through the plant, 250,000 is it's happy place. And we've looked at this trading off against the all-in sustaining cost. So growing just for ounces is we've really been looking carefully with the pressure in costs, quality over quantity in this regard. So not just pushing the 7 million tonnes, really looking at the higher-grade feed. So Bannockburn is in development, the Wonder underground is building its volumes. We're still pulling the Orelia material back down from Bronzewing. They're all contributing feeds to that plant. But you've seen in the quarter, we've achieved 1.4 grams, and that's a steady state at about 240,000 to 250,000 ounces.
Kate McCutcheon: Okay. That is crystal clear. And then for Ryan, you've guided the cash tax of $700 million to $835 million in the quarterly, you noted that you may be eligible to use De Grey's tax losses, which I think were about $440 million gross, but correct me if I'm wrong, but that needed to be confirmed post implementation. The deal has been implemented. So when do you expect to have clarity over those tax losses? And then secondly, can I just confirm when you expect to be able to start to amortize that 50% of the tax depreciable value for De Grey?
Ryan P. Gurner: Yes. Thanks, Kate. Yes, so you're right. So the tax losses, we will be able to use. So from a, I guess, a cash perspective, that equates to about $150 million. They will be probably used over a shorter period of time, probably 3 years. And then if you think about the actual acquisition value, that's $1.5 billion. And we said before, roughly 50% of that will be amortized over 5 years. So that's the math. Now how does it then impact our actual cash tax? What I'd probably say is you're not really going to see much of it until the second half of FY '27, because we bought it at May this year or this financial year, there's only really 2 months of that shield. So you're not really going to see that until we do the tax return again for FY '26, which won't be until December of calendar year '26. And then we'll pick up, I guess, that shield from that second half of financial year '27.
Kate McCutcheon: Okay. Cool. And so those De Grey tax losses, you can use them this year or not?
Ryan P. Gurner: We can. Yes, we will, but it won't be much. It's based on a fraction of what those losses are to our market cap. So we won't see them that much this year. We'll see them in FY '26. If you're saying this year, I'm probably thinking '25. So we'll see a little bit of through '26, but you won't see the large shield until, as I said, that second half of FY '27.
Stuart Peter Tonkin: Yes. on Page 3 of that release today under the De Grey section, integration section. So it highlights the interim assessment still 12, 24 months away. And then you've got the D&A doesn't come until commercial production from Hemi, which is obviously plus the 3 years. So that's the utilization of those.
Operator: The next question will come from Daniel Morgan with Barrenjoey.
Daniel Morgan: I guess the question is more directed to Ryan as it's a financial one. Just on the cash tax guidance you've paid, I mean, there's a range that's been given. Can you just talk about some of those assumptions that might be embedded in that range? And I presume that it's going to be at roughly current gold and currency assumptions.
Ryan P. Gurner: Yes, that's right, Dan. Yes, that's right. I mean, yes, so we're trying to -- we don't know yet exactly because we pay an installment rate per month, which is just a percent of our revenue. We don't know exactly what that second half percentage will be. We have an idea. And then, of course, as you say, gold price dependent will impact some of that actual dollar value.
Operator: [Operator Instructions] Our next question will come from Matthew Frydman with MST Financial.
Matthew Frydman: A couple from me. Firstly, apologies, but you probably get asked this on every call. But can you give us an update on your expectations around Hemi, the process there, in particular, any kind of dates or expectations around the state and federal approval process that you're expecting over FY '26? And also any dates we should be thinking about in terms of your next study update?
Stuart Peter Tonkin: Yes. Thanks, Matt. Look, probably not different to what we've probably articulated early calendar year, we put in the scheme implementation date saying that's the likely timing around those approvals. It's still iterative, and we're still working with all stakeholders at the moment to find solutions to things we're dealing with. So I think that's the process for the next sort of 4, 5 months. But yes, it's tracking as, I guess, we expected. But what we said was once we see those approvals, that's the time to really refresh the pricing around capital. And then that's what will be put to our Board for that final investment decision. So we still think that fits later in the financial year, potentially for an inclusion in next financial year, which neatly fits with the conclusion of the Fimiston mill expansion capital off and revenue up is probably a neat timing all going well.
Matthew Frydman: Okay. I understand. And then maybe pivoting over to KCGM and obviously, some great detail provided in the site visit presentation earlier this month. I'm interested in the regional and I suppose, satellite deposit opportunities, in particular, you called out Red Hill and Hercules. Can I just understand the 4-year production profile that you've given at KCGM, the 10 years at 900,000 ounces, is any of that dependent on bringing some of those regional and satellite opportunities into the mix? And if so, how do you think about sort of timing of capital and quantum of capital on those projects and where they fit in?
Stuart Peter Tonkin: Yes, good point. Look, all that guidance through to that 900,000 ounces by FY '29 forward is we term KCGM. So it is the open pit, super pit is the undergrounds of Fimiston and Charlotte growing volumes to that 8 million tonnes per annum, and it's then supplemented with that large 140-plus million stockpile that's there. That's the net that delivers that guidance and that production. When you sort of start to zoom out, and that's where we're putting our thoughts to that more regional contribution, and it's a grade displacement now. So any higher grade coming out of Red Hill or Hercules or other sources into that Fimiston plant gives us ability to displace 0.6 gram material with high-grade material and therefore, get that ounce kicker. So absolutely, we'll start talking less about KCGM and maybe more about the Fimiston mill as a cash engine and the supplementing feeds. But we still haven't talked about timing. We haven't talked about CapEx or the -- when that starts to come into the plan, but we're absolutely considering the power of that plant once it's operating. It's going to be the lowest cost mill in the region. And we've got a lot of tenure sitting in and around it that we own and deposits and discoveries that are being proved up just now.
Matthew Frydman: Yes. Okay. Understood. So hypothetically, potentially something like a Red Hill or a Hercules could come in at a higher grade than the stockpiles, then it would obviously displace lower-grade material and potentially provide upside to that 900,000 ounce production profile, but obviously, at a capital cost and an operating cost.
Stuart Peter Tonkin: You think about -- to give you an example today, HBJ, it's 100,000 ounce, it's one of our lowest cost mines. It's being trucked up to Kanowna Belle at probably twice the milling cost of what Fimiston will land at. It is free milling, not refractory ore. So recoveries through that circuit are better. But that's the sort of scenario as we look at all the economics of trucking cost, milling cost, overall recovery performance. Is it better to concentrate it, put it through the circuit and you're putting that high-grade 100,000 ounces instead of low-grade material. So we'll assess all that stuff at the right time.
Operator: [Operator Instructions] There are no further questions at this time. I would now like to hand the call back over to Mr. Tonkin for closing remarks. Please go ahead, sir.
Stuart Peter Tonkin: Thank you very much. And look, thanks, everyone, for joining us on the call and a pretty busy reporting day. I appreciate your continued interest in our company, and thank you, and have a great day.